Operator: Ladies and gentlemen, good afternoon. Welcome everyone to the TCP Capital Corp Third Quarter 2014 Earnings Conference Call. Today’s conference call is being recorded for replay purposes. During the presentation, all participants will be in a listen-only mode. A question-and-answer session will follow the company’s formal remarks. (Operator Instructions) I will repeat these instructions after management completes their prepared remarks. And now, I would like to turn the call over to Jessica Ekeberg, Vice President of the TCP Capital Corp. Global Investor Relations team. Jessica, please proceed.
Jessica Ekeberg : Thank you. Before we begin, I would like to note that this conference call may contain forward-looking statements based on the estimates and assumptions of management, at the time of such statements and are not guarantees of future performance. Forward-looking statements involve risks and uncertainties and actual results could differ materially from those projected. Any forward-looking statements made on this call are made as of today and are subject to change without notice. During today’s call, we will refer to a slide presentation which you can access by visiting our website, www.tcpcapital.com. Click on the Investor Relations link and select Events & Presentations. Our earnings release and 10-Q are also available on our website. I will now turn the call over to Mr. Howard Levkowitz, Chairman and CEO of TCP Capital Corp.
Howard Levkowitz: Thanks Jessica. We would like to thank everyone for participating in today’s call. I am here with our President and COO, Raj Vig; our Chief Financial Officer, Paul Davis, and other members of the TCPC team. This morning, we issued our earnings release for the third quarter ended September 30, 2014. We also posted a supplemental earnings presentation to our website which we will refer to throughout this call. We will begin our call with an overview of TCPC’s performance and investment activities, and then, our CFO, Paul Davis will provide more detail on our financial results. I will conclude by providing some additional perspective before we take your questions. We will review the highlights of our third quarter which are summarized on slide four of our presentation. First, we deployed a record $207 million in new investments during the quarter with net deployment of $184 million. Second, we delivered net investment income of $0.38 per share almost all of which came from recurring income. Third, we recorded earnings of $0.29 per share and an increase net asset value to $15.43 from $15.31 at the end of the second quarter. Fourth, we declared a regular quarterly dividend of $0.36 per share and also declared a special dividend of $0.05 per share. This is our fifth special distribution over the past nine quarters and demonstrates the strength of our investment portfolio and our rigorous underwriting process. Both dividends are payable on December 31, 2014 to shareholders of record on December 8. Finally, just this week, we increased our TCPC Funding Facility to $250 million, up from $200 million and expanded the accordion feature to $300 million. This credit facility has an attractive interest rate of LIBOR plus 2.5%. Our originations were strong demonstrating the strength of our origination platform and our continued creation of attractive investment opportunities. Over the last four quarters, we have invested over $600 million on a gross basis and approximately $366 million on a net basis. In the quarter, we continue to focus on allocating capital primarily the income producing securities. Over 98% of our new investments were in senior secured loans and less than 2% were in equity securities. For those viewing our presentation, please turn to slide seven. At the end of the third quarter, our highly diversified portfolio had a fair value of approximately $1.1 billion invested in 82 companies across numerous industries. In the third quarter, we maintained our focus on investing in senior secured and floating rate desk. At quarter end, approximately 97% of the portfolio was in debt securities, substantially all of which is senior secured debt. Approximately 80% of the debt positions were in floating rate debt, 86% of which had interest rate floors. With most of our debt portfolio in floating rate securities, we are well positioned for any meaningful rise in interest rates. During the third quarter, we benefited from a strong existing pipeline and the market disruption investing approximately $207 million in 14 different transactions, the highest level since our IPO. These investments included senior secured debt investments in 10 new and four existing portfolio companies. In addition, we received warrants in connection with two of these debt investments. In total, we invested $203.9 million in senior secured loans and we received $3.2 million in equity securities in connection with several of the financings. Our five largest investments reflect our diversification strategy and include; a $29 million senior secured loan to Arcserve, a software storage company; a $25 million senior secured loan to [indiscernible], a store energy development company; a $22 million senior secured loan to [Sora], a vertically integrated LED lighting company which issued warrants in connection with the financing; a $21 million senior secured loan to Great Atlantic & Pacific, a leading food retailer in the northeast; and $19 million senior secured loan to [indiscernible], a financial services company. In the third quarter, we exited $22.6 million of investments including a $7 million senior secured loan to CTV, a $4 million senior secured loan to Meta Media and a $4 million senior secured loan to Livingston. New investments in the quarter had a weighted average effective yield of 10.9%. The investments we exited during the quarter had a weighted average effective yield of 9.8%; a 110 basis point increase in the investments we made during the quarter versus those we exited resulted in an overall effective portfolio yield of 10.7%. Now, I will turn the call over to Paul for a more detailed report of our third quarter financial results. After Paul’s comments, I will provide some additional perspective on what we’re seeing in the market. Then we will take your questions. Paul?
Paul Davis: Thanks Howard. We were pleased with our results for the three months ended December 30, 2014. As you can see on slide 11, total investment income was approximately $27.2 million per share total investment income was $0.68 which includes pick income of $0.04 per share and prepayment income of $0.01 per share. As we mentioned in prior calls it is our general policy to amortize upfront economics and debt investments rather than recognize all the income at the time of the investment is made. Cash income from aircraft leases of $0.03 per share was offset by depreciation expense of $0.02 per share reducing the company’s taxable income. Total operating expenses for the quarter were approximately $7.9 million or $0.20 per share including interest expense of $2.5 million or $0.06 per share. We also accrued dividends on the preferred leverage facility of $0.4 million or $0.01 per share. Our annualized operating expense ratio including interest expense and preferred dividends but excluding incentive compensation was 5.5% of average net assets. Incentive compensation which is subject to a total return hurdle of 8% annually is calculated by a multiplying net investment income after preferred dividends and net realized gains reduced by any net unrealized losses by 20%. Incentive compensation from net investment income for the quarter was $3.8 million or $0.09 per share. For purposes of computing incentive compensation, realized gains on investments acquired before January 1, 2013 are measured by comparing investment disposition proceeds to the fair value of the investments at January 21, 2013 when the incentive compensation period began. For book purposes a reserve amount if also calculated based on any additional incentive compensation that would have been payable how do we liquidate it at net asset value on the balance sheet date. This reserve is not payable unless the associated gains are actually realized and subject to reversal. At September 30, 2014, this reserve amount was approximately $0.7 million, a decrease of $0.9 million or $0.02 per share from the end of the prior quarter. Net investment income before dividends on the preferred equity facility and incentive compensation was approximately $19.2 million or $0.48 per share. Net investment income after preferred dividends and incentive compensation on net investment income was approximately $15.1 million or $0.38 per share. The difference between this amount and our net increase in net assets from operations of $0.29 per share was primarily comprised of two items; net realized and unrealized losses of approximately $4.5 million or $0.12 per share offset by the change in reserve for incentive compensation of $0.9 million or $0.02 per share. Net realized gains were $0.9 million; net unrealized losses were $5.4 million primarily due to increases in market deal spreads particularly at the end of the quarter. The value of our legacy investment in real match was reduced and we’ve placed the 1% loan on non-accrual which had a negligible impact on net investment income due to its small size in rate. As of September 30, 2014 we had no other debt investments on non-accrual. As a reminder substantially the entire portfolio is priced using despite every quarter using external sources with only a de minimis amount being priced internally. After paying our third quarter dividend which is totaled $15.3 million we closed the third quarter with tax basis undistributed or net income of approximately $27.5 million. Available liquidity at the end of the quarter totaled approximately $200.4 million which was comprised of available leverage of $177.5 million and cash and cash equivalents of $24.1 million less net pending settlements of $1.2 million. Available leverage included the unused portion of our $75 million leverage commitment from the small business administration in connection with our SBIC license. Net combined leverage was approximately 0.66 times common equity at quarter end. This quarter end we further increased our liquidity and capital availability through a $50 million expansion of the TCPC funding facility and a $50 million expansion of the facility as accordion feature as well as the launch of ATM program which allows us to conservatively raise equity on a gradual and accretive basis at market trading prices. At the end of the quarter, our total weighted average interest rate on an outstanding on a combined leverage program including both debt and preferred equity was 2.8% this reflects our preferred equity facility at a rate of LIBOR plus 85 basis points, or SBA debentures that in all in rate of 3.37%. Our convertible notes at 5.25% and amounts outstanding on our revolving credit facilities at a rate LIBOR plus 2.5% subject to certain funding requirements. I’ll now turn the call back over to Howard.
Howard Levkowitz: Thanks Paul. I will briefly cover what we’re currently seeing in the middle market lending environment and then open the line for questions. Fourth quarter is off to a good start. Through November 3, 2014 we have invested approximately $69 million primarily in three new senior secured loans with a combined and effective yield of approximately 10.4%. Fourth quarter investments include our third investment in our SBIC subsidiary, which we partially funded with SBA debentures. We are pleased with the strong start to the quarter however we note that originations can be lumpy and neither the pace nor the yield should be annualized. Our primary focus remains on expanding our earnings by effectively putting our recently expanded and diversified liquidity sources to work to optimize our portfolio. We’re focused on capitalizing on the many attractive opportunities we’re seeing to provide much needed growth capital to middle market companies. Our pipeline remains robust. We continue to evaluate a wide range of investment opportunities across a variety of industry sectors and we continue to see strong demand for capital for middle market companies that need our investment criteria. Over the past 12 months we have originated more than $600 million of transactions from our traditional deal partners as well as new sponsor and non-sponsor relationships. We’re especially proud of the progress we have made in expanding origination platform and referral sources. We view these relationships as a validation of our business model and the value we bring to the companies we fund. TCPC has built a stronger market position by leveraging our growing platform to lend to establish middle market company with sustainable competitive advantages that generate significant cash flow and/or have significant asset coverage or enterprise value. Looking to the future, we are uniquely qualified for continued success for several reasons. First, we have scale and depth in our origination and servicing platform and a highly experienced team to identify investment opportunities from a broad range of sources and to play an integral role in structuring and investing in complex investment opportunities. Over the past couple of years we’ve continued to expand our origination platform to increase the number of potential opportunities we review. This allows us to take a highly selective approach to the investments we make. In September, we added Carolyn Glick to our growing origination team. Carolyn has a strong track record of lending the middle market companies and will be a great addition to the team. We believe our rigorous investment process and highly diversified portfolio will enable us to continue to achieve high risk adjusted returns over time with reserving our investors’ capital. Second, our focus on senior secured loans the majority of which are floating rate securities has resulted in a lower overall risk profile and strong portfolio performance. This has enabled us to deliver a consistently strong dividend and to make special distributions five out of the nine last quarters to our shareholders as well. Third, our lower cost of capital and diverse funding sources continue to be key competitive advantages for TCPC. In the third quarter, our weighted average cost of capital was below the average [ADCs]. In addition, TCPC remains well positioned with our attractively priced leverage, our convertible notes and our long term unsecured notes from the SBIC facility which adds another source of low cost funding. Finally, our interests are closely aligned with our shareholders. Our origination income recognition practices are conservative and we have a shareholder friendly free structure. We are personally invested alongside our shareholders with approximately $10 million of our pre IPO holdings voluntarily locked up. And members of the management team and the board of directors have on a number of occasions including during the fourth quarter purchase shares in the open market. We are pleased with our strong third quarter results and we remain committed to our rigorous investment process that delivers high risk adjusted returns while preserving capital. We manage our portfolio with a long term view and we are optimistic about our prospects for continued growth and returns. We would like to thank all our shareholders for your confidence and your continued support. And with that operator please open the call for questions.
Operator: (Operator Instructions). The first question comes from Greg Nelson from Wells Fargo Securities.
Greg Nelson - Wells Fargo Securities: Howard, just briefly, I think you mentioned that the weighted average yield on new investments was 10.9% and that were repaid during the quarter was 9.8%. But the portfolio yield I think remains flat at 10.7% sequentially. Could you run us through what were the kind of the drivers there that I would think that if that was the case portfolio yield would actually increase?
Howard Levkowitz: The differential was significant but the dollar amount of our prepayments was low. We had $22.6 million of prepayments and so in relationship to $207 million of originations. So the math just wasn’t that significant although the differential was this was an unusually light quarter for our prepayments and we think that was partly attributable to some of the dislocation in the market some companies that we had expected to prepay I think pushed off the decision given what was going on in the market.
Greg Nelson - Wells Fargo Securities: And then I saw in your press release that you guys started utilizing the ATM program here in the fourth quarter and you have a fair amount of liquidity between the SBIC facility and cash in the balance sheet. I just want to see how you are balancing utilizing liquidity that you have with issuing new shares and how you are thinking about the ATM program from here?
Howard Levkowitz: Long term our goal is to enhance shareholder value and to put good assets on the balance sheet and to grow the businesses so we’ve been doing and to balance out the right side of the balance sheet with a diversified set of liabilities which we’ve been adding to with during the last couple of quarters with our convertible bond in the SBA facility and expanding our leverage facility. With respect to the equity side we’ve attempted to do that over time in the most efficient way possible waiting to when we needed the equity to expand and trying to do it on adjusting time basis. The ATM is a very efficient way of doing that because you can raise equity dollars on a regular basis it doesn’t always allow you to do a significant amount though and so we’ve been very judicial in our use of it and raised it on an accretive basis and pretty small dollars since we put the program in place.
Greg Nelson - Wells Fargo Securities: Do you see the program complementing the larger equity raises that you’ve done in the past or eliminating them?
Howard Levkowitz: We see it as the complement. The larger equity raises obviously enable you to do much more significant amounts over time. The ATM is a function of a number of things. Our goal in being able to have it is to use it efficiently on an opportunistic basis. But I suspect that going forward we will probably be utilizing both.
Operator: The next question comes from Troy Ward from KBW.
Troy Ward - KBW : Great, thank you and good afternoon gentlemen. Just little bit follow up to Greg’s prior question about the 110 basis points increase of new asset versus exit, and this is great to see things like we haven’t seen that I just want to see in the current environment do you anticipate, it’s a small sample size I know, do you anticipate that’s a turn where we’re actually going to be able to see a bit wider margins or was that just a one off or maybe you called some of the lower yielding stuff in the portfolio and that was the reason for the pickup.
Raj Vig: Hi Troy, its Ray speaking I’ll try to address that. In the business it really is, it’s hard to say I mean, I think when you look at the last nine quarters since we went public we have generally exited, generally put assets on at or above levels that we’ve exited in some cases with higher pre-payments than the current quarter which did seem unusually widest how we point it out and we’ve been focused on at some level in the market if opportunities aren’t there either on a discrete transaction basis or on a larger quarterly volume basis we just don’t do the deal and we say no, we’re not fix it on putting a certain amount to work pre quarter. That being said I think that historical experience is encouraging. We have seen a list that we put on and we sold stabilization if not some slide uptake in the quarters and this current quarter the new assets are at higher level in the overall portfolio. But it’s hard to say I mean the current volatility in market does seem to be leading to good opportunities we’re seeing a good pipeline with a good diverse set of opportunities at good returns, but it’s hard to predict many quarters out as you know in this market although the trend seems to be encouraging.
Troy Ward - KBW: Great, thank you. And then on slide seven, the industry segmentation of the portfolio, can you just speak to kind of your direct or even your indirect impact the recent energy volatility may have on your portfolio and how does you’re underwriting protect against that volatility and to what you does protect against volatility in the energy markets?
Raj Vig: Sure. That’s a good question. The direct portion of our portfolio that is acted by energy is relatively small; indirectly it’s going to be significant. If energy prices specifically stays down but a tax rebate consumers in a pretty significant one. That’s going to benefit lots of companies in terms of bring up spending power for people. At the same time expenditures in the energy sector have driven a lot of growth in the economy and to the extent that oil prices remain down and company start to recalibrate their spending there will be both less spending on some suppliers and on related services particularly in a few geographic areas. We don’t have any particular geographic concentration. So it’s something that we’re monitoring very closely going forward and thinking about a lot and trying to model a series of different scenarios with respect to how it’s going to impact the portfolio.
Troy Ward - KBW: Can you speak with a little bit more specificity on just the segmentation of oil and gas subtraction 3.6% of the portfolio?
Howard Levkowitz : Sure. Some of these categories and broad and that doesn’t mean that’s necessarily where whole of the revenue was derived from these companies and some of them have hedges in place so they’re not likely to be impacted in the near term. But clearly those companies in that sector are more likely to be directly impacted.
Troy Ward - KBW: Okay. And then just a couple clarifications I apologize I get some of these numbers written down quickly enough, you’re talking about your cost of capital and I actually got all of the different pieces the SBA is 3.37 and convert to 5.25, but what was the weighted average total average cost that you get there?
Paul Davis: Sure. Our weighted average interest rate including both debt and equity was 2.8% at the end of the quarter.
Troy Ward - KBW: Okay. And then Howard you talked about also quarter to-date the fourth quarter investments, can you repeat that information what the dollar amount that you’ve done quarter to-date and what’s the yield on those investments?
Howard Levkowitz : Sure. Quarter to-date we’ve invested approximately $69 million in an effective yield of approximately 10.44%.
Operator: The next question comes from Chris Kotowski from Oppenheimer.
Chris Kotowski - Oppenheimer : Yes, just as a follow up on the energy side, do you have an energy team or energy lender or specialist that would enable you to take advantage of any dislocations that come our way in the next however many quarters or is that a capability you need to build?
Howard Levkowitz : Frankly, yes we do. Energy is the sector that we focus on a lock here at the firm, more across our broader platform than we have in the TCP Capital Corp. And we also have a number of our advisory board who has significant experience in this area. And we’ve made a number of investments over the years it’s something we’re spending a lot of time thinking about and studying clearly prices have come down a lot faster and farther than many people anticipated and it’s going to create a lot of winners but also some losers and so we’re trying to make sure that we plan from a risk management standpoint but also positioning ourselves to take advantage of this through both existing relationships and some other ones we’ve been working on developing.
Chris Kotowski - Oppenheimer : And then secondly kind of unrelated I guess it’s been a tough year for BDC generally which starting with a Russell rebalance and then this quarter you had spreads widen out on most loans. And you now have a lot of BDCs trading the loan now and obviously I think that makes for most of the industry to make capital raises tougher. And I am just wondering if you have had an impact on the competitive dynamics in the market?
Howard Levkowitz : It’s a little hard to parse all of the factors that have been going on in the last couple of months. There has been dislocation in the capital markets particularly in the credit markets that have had an impact on particularly the trading markets. And although they’re not directly connected that certainly impacts the indirect markets. The impact of not being able to raise as much equity on some of the participants from the market it’s clearly something we’re going to see going forward but also there are lot of private participants in the market that have capital that is not subject to the equity capital market and they continue to participate in these markets and compete. So I think it’s a lot more involvement complex than that. But clearly there is some impact. And I think Raj is going to add to that.
Raj Vig: Yes I just wanted to add to that I think it’s little early to tell about the trends it sticks or if it’s a bit more of a recent market phenomena Chris. We have and I would say we have seen a couple of situations where people have reassessed their buy size or even the timing of something. It’s been the exception more than the rule. But keep in mind that as repayments come in which in our case this quarter it was slower than normal but as those come people I think have that capacity to decide whether to redeploy reinvest do buybacks what have you and that’s a little bit of a decision making process that’s ongoing in real time right now and how that shakes out we’ll see.
Operator: (Operator Instructions) The next question comes from Robert Dodd from Raymond James.
Robert Dodd - Raymond James: I mean give us a bit color kind of five market segment now you are participating in the somewhat broader lanes of company size the most BDC so from SBA eligible to larger companies. Are you seeing anything in terms of a dissipation between those markets right now obviously with the volatility we’ve seen some indications of a bit of widening spread et cetera in the larger somewhat larger into the market. But at the smaller end that usually takes much longer for those kind of impacts to flow through. So are you seeing anything where it’s kind of moving positively in one end and not seeing in the other or is there any other color you can give us by kind of by size segment if you will?
Howard Levkowitz : Yes, I’ll take a crack at that and that’s kind of to comment -- add commentary as you expect but, we’ve always said over the last call it one and half, two years, we’ve made the point that the larger broadly syndicated loan market and high yield tends to react quicker spreads have tightened in that market materially. But in our segment call it the middle market and even down to the SBA or SBIC size company there just has been at least from what we’ve seen more defensibility and maintaining a certain rate of return on the assets and we’ve seen that and the overall portfolio spread for us as well as in the spread of assets we’ve deployed and acquired versus what we sold off it just has been a little sticker but directionally consistent from the larger cap market. To your point I think right now we’re certainly seeing some volatility there has been a little bit of an impact in our portfolio as Paul pointed out not significant and nothing that we think is at the moment correlated to the actual performance or fundamentals of the company. So I think you’re seeing that little bit of the reverse even though things are go in the opposite direction in the larger cap market the pace or the timing of that as it relates to our market will just by nature be a little slower although we are seeing good opportunities we are seeing some impact in terms of the supply of capital here and there being constrained and the pipeline is good. We’re focused on the right types of companies particularly as always defensible in their franchise and then their cash flows were particularly cautious on cyclical but I think the timing of that up or down is consistent we’ve seen over the last couple of years in the opposite direction.
Operator: The next question comes from Christopher Nolan from MLV & Company.
Christopher Nolan - MLV & Company : Hi. Two questions, Howard, do you anticipate any sort of seasonal slowdown in the December period or January period in terms of deal volume?
Howard Levkowitz : Good question, hard to know at this point. We’ve had both situations where year-end once being a very busy time for us we take pride and being available to do deals and being available for our borrowers who want to do year-end transactions. But there are other times when it’s just less significant and it seems like people are more interest in going on vacation at year end they’re getting deals done. And at this point I don’t think we’re in a position to assess what’s going to happen I think what’s going on in the capital markets and maybe even to some extent people’s perception whether there are going to be changes in the regulatory environment in the few set situations, is probably going to be more impactful in the calendar itself and we certainly know that some borrowers that have just decided, they wanted to wait and see if things changed to do some of their refinancing and whether they include there has been a vast change between what the capital markets are like now and just three weeks ago. Whether they include then over the next several weeks that makes sense to go ahead and go ahead with things, I think we’ll see in coming weeks.
Christopher Nolan - MLV & Company: Got you. And my follow-up would be on the ATM program, given the share volumes that we saw in the last month, would you look at that volume sort of as the ramp up and the more steady state is going to be some level higher than that or you sort of look at that being sort of the normal volume of shares issued under the ATM?
Howard Levkowitz : The volume we issue under the ATM is going to be entirely dependent on what make sense for our shareholders and our business. We want to do in accretive basis, it’s all we say a very helpful just in time funding tool, but what’s going on with respect to the volumes and price in our stock in capital markets generally as well as what’s going on, on the business side going to take that.
Operator: The next question comes from Christopher Doug from Crowell Weedon.
Doug Christopher - Crowell Weedon: I think I might have heard early on that you said you took advantage of some of the volatility in the markets to make some investments right in over the last few months, was that correct?
Howard Levkowitz : What happened it was particularly toward the end of the quarter, the capital market started to back up and so our deals going always track that many of the things we closed during the quarter were in the pipeline for many months and pricing was agreed too before that, but in some cases people make decisions to get things done quickly and wanted to move before things might get worst and so that enabled us to price deals more attractively than we would have been able to in the last several quarters.
Doug Christopher - Crowell Weedon: Okay, thank you. And then this is a follow-up to the energy question, I think on the last call you mentioned adding an energy team in San Francisco, just any color on that.
Paul Davis: Yes, sure. That’s a little bit different that team is an energy technology more earlier stage venture debt targeted at that sector, that being said some of the -- there is some disconnect with what happens in oil just because of the circular trends that are going on in the area they focus on little more disruptive type investments in renewables or biochem et cetera and in some cases the impact of oil prices may be a positive on some of that companies if it’s an input or may actually be slow down the ramp to the extent there are substitutes for high priced oil. But I would just distinguish that that team and its focus both on stage of the company and type of credit product versus more of the later stage traditional energy business where we do have that experience at both in house and on our advisory board that Howard mentioned earlier.
Doug Christopher - Crowell Weedon: Okay. So that would be in addition to the code, like for example the oil and gas extraction at about 3.6% of your current portfolio.
Paul Davis: That would be the same from that, correct.
Doug Christopher - Crowell Weedon: Okay. Thank you.
Paul Davis: If that would likely to be distinct from that depending on how the coding works I don’t actually have an exact co-relation between what’s in that code and what they’re focused on, but at a high level later stage oil and gas are traditional energy segments would be different from what the energy folks are working on.
Operator: I am showing no further questions. I would now like to turn the call back over to Howard Levkowitz.
Howard Levkowitz: We appreciate your questions in our dialog today. I would like to thank our experienced, dedicated and talented team of professionals at TCP Capital Corp. Thanks again for joining us. This concludes today’s call.
Operator: Ladies and gentlemen, that does conclude the conference for today. Again, thank you for your participation. You may all disconnect. Have a good day.